:
Executives: Le Pears - Financial Dynamics Jeff Griffiths - Chief Executive Officer  Dan Terrell - Chief Financial Officer 
Analysts: Mitchell Kaiser - Piper Jaffray  Brad Thomas - KeyBanc Capital Markets John Baugh - Stifel Nicolaus Hardy Bowen - Arnold & Bleichroeder Eric Cha - Brand Advisory Ryan Zackary - Jam Partners
Operator: Welcome to the Lumber Liquidators second quarter earnings conference call. With us today is Jeff Griffiths CEO of Lumber Liquidators and Dan Terrell, CFO of Lumber Liquidators. (Operator Instructions) I would now like to turn the conference over to Ms. Le Pears of Financial Dynamics. 
Le Pears:  Before we begin let me take a moment to reference the Safe Harbor provisions of the United States security laws for forwarding looking statements. This conference call may contain forward looking statements that are subject to significant risks and uncertainties including the future operating financial performance at Lumber Liquidators.  Although Lumber Liquidators believes that the expectations reflected in its forward looking statements are reasonable, they can give no assurance that such expectations or any of its forward looking statements will prove to be correct. Important risk factors that could cause actual results to differ materially from those reflected in the forward looking statements are included in Lumber Liquidators filings with the SEC.  The information contained in the call is accurate only as of the day discussed. Investors should not assume that the statements will remain operative at a later time. Lastly Lumber Liquidators undertakes no obligation to update any information discussed in this call.  Now I’m pleased to introduce Jeff Griffiths, President and CEO. 
Jeffrey Griffiths:  Thank you for joining us for Lumber Liquidators second quarter 2008 earnings call. With me on the call today is Dan Terrell our CFO. I would like to begin today with a brief review of our second quarter 2008 performance. Dan will then review our financial results in detail as well as our outlook for 2008. I will return with a few comments on our growth strategy before we open the call to questions.  We continued to build on our positive momentum and achieved both record sales and earnings for the quarter. In fact our net income results in the second quarter were the best in the history of our company. Overall our performance was largely driven by the continued strong execution of our business strategy and low cost model, high demand for our appealing value proposition of price, selection, quality and availability and our recently implemented operational enhancements and infrastructure investments.  We are especially pleased with the very strong performance of our newly opened stores which are consistently exceeding plan. These stores contributed significantly to our top line growth and represented a large percentage of our total increase in sales for the quarter.  Other highlights of our second quarter performance include a 21.1% increase in year-over-year net sales, comparable store sales growth of 2.7% in line with our expectations for the full year, significant expansion in gross margin of 210 basis points, continued improvement in SG&A as a percentage of sales and more than doubling in year-over-year net income.  We found that during the second quarter customer demand for our higher quality premium products remained strong. Our enhanced selection of merchandise which includes handscraped, laminates and bamboo as well as the continuing popularity of our exotics helped to drive both total sales and gross margin.  In addition we experience continued strength in sales of moldings and accessories which continues to contribute to our strong gross margin performance. In addition to increased demand for higher margin products our gross margin is also benefiting from our continued emphasis on retail pricing discipline and additional improvements in logistics and inventory allocation.  Further the opportunistic liquidation buys we completed earlier in the year are also continuing to be reflected in our results. As many of you know, we hold our annual big sale each April. For this year’s sale, our liquidation buys allowed us to offer higher quality products with better gross margins compared to last year when we offered more odd light and clearance during the big sale.  We continue to make progress in aligning our operating costs with growth in our store base. We’ve made certain additional investments in infrastructure to support the expansion of the business such as further strengthening our management team and store personnel. Our objective is to continue to improve efficiencies across the business while also positioning the company for long term effectiveness. We remain confident that we will more fully leverage our operating costs over time as we continue to grow our top line and add new stores to our base.  Looking across our entire organization, we continue to be very pleased with the results of our operational enhancements and infrastructure investments. As we mentioned last quarter, among other advances we focused on staffing our stores more appropriately. We are also making our showrooms easier to shop. Enhancements we have made to inventory allocation and in-stocks are allowing us to fill customer’s orders significantly faster than before. All of these improvements are enabling us to operate better and increase customer satisfaction.  We have also become more efficient in our approach to logistics and transportation. We have implemented several initiatives which have allowed us to save significantly on transportation and logistics cost, while at the same time allowing for on-time and consistent delivery of products. Better planning has allowed us to improve our delivery routes and also increase our direct-to-store delivery. We are also using more inter-modal transportation and choosing more cost effective transportation partners through new getting processes. We are very pleased that our efforts have enabled us to improve service levels and reduce costs even while fuel prices rise.  Another benefit of our operational enhancements has been our improved in-store sales processes. We found that our sales personnel whose skills have improved; thanks to our sales training initiatives, are becoming more effective in satisfying our customers and in closing sales. Specifically we’ve noticed the benefits of our training program during our big sale that we held in April. Our sales people were clearly more adapt in assisting our customers during this year’s big sale than in previous years and were better able to meet our customers needs.  Our combined efforts lead to another successful annual event and exemplified the growing acceptance of our value proposition and the strength of our market position. Given the positive traction we are experiencing with our business we are confident in our prospects for long term growth and we are optimistic in our outlook for the remainder of the year.  I now like to turn the call to Dan and will be back in a few moments to discuss our ongoing strategy and answer questions. 
Dan Terrell: As Jeff mentioned I’m going to provide some additional details on our results for the second quarter 2008 and then discuss our outlook for the year. Net sales for the three months end of June 30, 2008 grew to $128 million in the second quarter of fiscal 2008 from $105.7 million in last year second quarter, an increase of 21.1%.  Comparable store net sales increased 2.7% on top of a 9% increase in the second quarter of 2007. Our growth in comparable store net sales was primarily driven by increased volume which we generally measure in square feet partially offset but a slight decrease in the average retail price per square foot sold. Consumer demand continues to be driven primarily by our expanded product assortment, particularly the premium products in each category and our commitment to a more consistent in-stock position, including moldings and accessories. Net sales in the second quarter of 2008 also benefited from the sell through of liquidation deals.  We have opened 10 new stores during the second quarter of 2008 ending the quarter with 135 stores in 43 states. We have opened 32 new stores in the 12 month from June 30, 2007 to June 30, 2008. Overall our new stores are outperforming our expectations and continue to contribute significantly to our top line growth.  Gross margin increased 210 basis points to 34.6% from 32.5% in the prior year period. Building on recent positive trends effective execution of initiatives in the areas of store operations merchandising and logistics, all helped us maintain strong margins during the second quarter of 2008.  Our gross margin improvement was primarily driven by retail pricing discipline and expanded selection of higher margin premium products and transportation efficiencies. In addition gross margin benefited from the sell through of liquidation deal merchandise, a less promotional big sale in April and retroactive rebates on a certain bamboo tariff.  Selling, general and administrative expenses were $34.9 million or 27.3% of net sales for the second quarter of 2008 compared to $30.4 million or 28.8% of net sales for the second quarter of 2007. The improvement in SG&A as the percentage of net sales was due to the company’s strong sales growth and a reduction in the stock based compensation expense.  We also reduced advertising expenses as a percentage of net sales to 9.8% in the second quarter of 2008 from 10.4% in the prior year’s second quarter, primarily due to leveraging national advertising across a larger store base and a shift in the timing of certain advertising programs in 2008 versus 2007. Partially offsetting the SG&A leverage were labor costs due primarily to certain bonus accruals and employee benefits and certain other costs including legal and professional fees.  Net interest and other income for the second quarter of 2008 was $159,000 versus a net expense of $137,000 in the prior year’s second quarter. Net income for the second quarter of 2008 more than doubled to $5.9 million or $0.22 per deluded share based on approximately $27.3 million weighted average diluted shares outstanding. In the second quarter of 2007 net income was $2.3 million or $0.10 per diluted share based on approximately $23.1 million weighted average diluted shares outstanding.  Turning to the balance sheet, we had $22.3 million in total cash and cash equivalents at June 30 2008 and remained free of long term debt. Merchandize inventories totaled $100 million at the end of the second quarter, up from $95.5 million at March 31, 2008 and $77.9 million at June 30, 2007.  Available for sale inventory which are products we have received and inspected at either our central distribution center or at a store location totaled $85.3 million at June 30 2008, $72.1 million at March 31 2008 and $65.1 million at June 30 2007. Our available inventory per store was even with our position at June 30 2007 and increased related to March 31 2008 primarily due to the strengthening of our in-stock position in both our best selling premium products and our moldings and accessories. In addition, we continue to maintain a high level of liquidation deal inventory. We expect available inventory per store to decline slightly in future quarters.  Working capital was $86.1 million at June 30 2008 with the current ratio of 2.95 times. This compares with working capital of $81 million at March 31, 2008 and a current ratio of 2.45 times. Capital expenditures totaled approximately $2.4 million for the second quarter of 2008 and $4 million for the six months ended June 30, 2008. Capital expenditures were primarily for new store fixtures and lease hold improvements and approximately $1 million for lease hold improvements and equipment at the corporate office, upgrades to our website as well as certain routine purchases of fixtures and computer hardware and software.  Turing to our outlook for the year; we are privatively adjusting our full year sales guidance range to $480 million to $490 million from our previously expected range of $475 million to $490 million. We continue to expect some terrible store sales to increase in the mid single digit range.  We are narrowing our expected number of new store openings to 33 to 38 from our originally expected range of 33 to 40. By the end of the second quarter we had open 19 stores and to date we have opened a total of 24 stores. We are positively adjusting our full year 2008 EPS range to $0.73 to $0.78 per diluted shares as compare to our previously expected range of $0.70 to $0.78 per diluted shares.  I now like to turn the call back over to Jeff for his closing remarks. 
Jeff Griffiths:  As we both mentioned we are very pleased with the performance and contributions of our newly opened stores. Of the 10 stores that we opened in the second quarter six were new markets and four were in existing markets. All of the new stores have ramped up very quickly, are performing well and are helping to drive our overall growth.  We remain confident in our store expansion strategy and look forward to maximizing opportunities to further strengthen our leadership position in this highly fragmented market. Moreover, we are pleased that our unique value proposition has enabled us to gain market share even during a difficult macro environment.  Further, because our store base is still relatively small, we see many opportunities to further leverage our highly adoptable and low cost store model which has enabled us to grow quickly and enter new markets successfully. We are pleased with the success of our expansion efforts so far as well as with the effectiveness of our national advertising programs in supporting this growth.  While we work to expand our store base we will also focus on adapting our product offering with consumer trends such as broadening our selection of exotics as well as moldings and other accessories. We will also continue with our highly effective national advertising camping which has had ongoing success in driving demand and raising awareness for all of our brands.  In closing I’d like to mention that we are very encouraged by our continued strong performance, especially in light of the difficult economic environment. As we move forward into the second half of the year, we will aim to achieve sales growth and margin expansion, maintain and broaden our effective brand marketing strategies and continue adding successful new stores to our chain.  We are confident that through these strategic growth initiatives we will continue to solidify our leadership position as the largest specialty retailer of hardwood flooring in the US. We are gratified that our growing customer base remains attracted to our strong value proposition and that we are building a very solid foundation from which to grow our business.  We would now like to answer any questions that you may have. 
Operator: (Operator Instructions) our first question comes from the line of Mitchell Kaiser with Piper Jaffray; please go ahead. 
Mitchell Kaiser - Piper Jaffray : Looking at the gross margin being up 210 basis points could you breakdown some of the components behind that mix shift and then quantify the bamboo tariff. In the first quarter you mentioned what the close-out helped you; Dan could we get a little more clarity on the drivers of that? 
Dan Terrell: Mitch in the ND&A we broke out the bamboo tariff rebate to be about 40 basis points at a period in the second quarter and about 15 basis points at a period for the full six months 2008. From there, the majority of the drivers of margin or on mix shift. We certainly had some liquidation impact in the second quarter. As far as margin is concerned it wasn’t as great a driver as it was in the first quarter. We felt like we had about 10 basis points of pickup from special liquidation deals and we really didn’t feel like we had as much conversion impact as we did in the first quarter and when I mean conversion impact it’s to our existing product line. So, in the quarter we are looking at 10 basis points of liquidation, about 40 basis points related to the bamboo rebate that would be at a period and for the six month period we are talking about 25 basis points of liquidation and about 15 of the bamboo tariff. 
Mitchell Kaiser - Piper Jaffray : Okay that tariff is predominantly in Q2; we shouldn’t expect that going forward then? 
Dan Terrell: There will be a immaterial impact in the third quarter as well, so we should complete the application for the full rebate in the third quarter. 
Mitchell Kaiser - Piper Jaffray : Okay and then by our calculations it looks like the new store productivity was very good, showing nice improvement particularly from Q1. Is that a function of the national advertising or locations or how should we categorize that or think about that? 
Jeff Griffiths: I think it’s a combination of the locations being a bit better than what we had historically with better visibility. We’re opening stores; we’re better prepared when we open them, we have more staff in the stores, we have the showrooms complete, we have a pretty good product mix of inventory in the stores when they open; so I think that certainly has contribute to it.  The national advertising which has over the years made our name very well known certainly has demand there in the market as we open, that’s contributed to it and finally where we do open in existing markets we have a very solid customer base who’s aware of us and those people certainly help that store ramp a lot faster and we definitely see a consistently stronger ramp when we open in an existing market.  Mitch, I’d like you to back for a second on your question on the gross margin; really the main driver in the gross margin improvement year-over-year is what we’ve been seeing in the last few quarters and that is the expanded product mix in each product category where we have more premium products within each category and those premium products have price points that are significantly well in our competition, but carry margins significantly higher than our price leading products within each category and we are seeing a consistent trend to those higher premium products. The last point there is the significant improvement in moldings and accessory sales that we continue to see. As we’ve made a much better, much bigger commitment sustaining stock in those products, we’ve introduced a lot of special order programs with those products and as a result, as a percent the total sales were significantly higher than they’ve ever been and we expect that trend to continue. So, I think those are the key take-aways from the margin improvement, because we believe that they are all sustainable improvement in margins. 
Mitchell Kaiser - Piper Jaffray : Okay very good and then on the comp guidance for the year, it looks like mid single-digits for the full year; does that assume that comps pickup in the third and fourth quarters relative to the second quarter and if so, could you just talk about some of the drivers behind that; is it better in-stocks or what might that be?
Jeff Griffiths: The comp guidance of mid single-digits is pretty consistent with where we’ve been in the last quarter and probably most of the first quarter as well. Quite frankly when we look at that we combine that with the new store performance and the fact that the new stores are consistently performing better than expected and we’re seeing a much stronger performance coming out of existing markets. I think that’s telling us that there is some impact on the existing store base from the new store openings, but we feel that that’s the right decision for the business long term because of the great performance we get from new stores, the great ROI we got from the new stores.  Having said that I do think that there is some macro impact to our comp store performance, but we believe we’ve been able to continue to outperform the industry because of our appealing value proposition and the fact that we’re competing in such a fragmented, competitive landscape. So, we expect to see more of the same throughout the year from our comp store performance and we are comfortable with that. 
Operator: Thank you, sir. Our next question comes from the line of Brad Thomas with KeyBanc Capital Markets; please go ahead. 
Brad Thomas - KeyBanc Capital Markets: Mitch took a number of my best questions I think, but may be just a few follow-ups in terms of the sales. I know you mentioned that -- it sounds like the April sale went well; could you talk a little bit about may be the trends through the quarter that you saw? 
Jeff Griffiths: Sure. The April sale was in our mind very successful for a couple of reasons, we certainly generated significant sales out of it. We were able to fill the orders much faster than we ever had in the past because of our better in-stock position and our better merchandise planning and forecasting, so we think that certainly helped with the sales, particularly in May compared to previous years and we also had fewer order cancellations as a result of that.  Probably the best part of it though was that the product that we were selling was more premium product; the liquidation product that we sold was a much better quality and better margins than we had with liquidation products historically which I think was a direct result of the quality of the liquidation product that’s been available this year and the fact that we were in a really strong position to take advantage of those buys when they were available. So I think that the margin improvement was the big story out of the April sale.  As far as trends through the quarter, our performance was pretty consistent through the quarter in terms of both, top line sales, comp store sales and margin performance. New order demands remained pretty consistent as well, so no major fluctuation in the quarter. 
Brad Thomas - KeyBanc Capital Markets: Okay great and then Dan I think you had mentioned a change in the timing of advertisement. Could you just add a little bit more color on that and when you expect those expenses to hit the P&L? 
Dan Terrell: Sure Brad, it’s really relative to the prior year. We had a much more uneven spend in 2007 as far as advertising as a percentage of sales. It had fallen from 11.4 in Q1 07 to 10.4 in Q2 2007 and continued to fall there on. Here you see that we are at 98 in Q2 and we were coming from 99 in Q1, we just have a much more consistent spend, so it’s not one program or one significant national program that’s moved from one quarter to the other.  We are just timing our spend and we plan to time that spend a little more evenly as a percentage of sales in 2008 versus 2007, but there is not a big number coming in the second half of the year. We talked a number of times about look for somewhere in the range of 40 basis points of leverage on an annual basis and we’re still comfortable with that. 
Brad Thomas - KeyBanc Capital Markets: Okay great and then just a follow-up on the mature store versus the new stores. I mean it seems very clear that the new stores are doing well; could you may be just remind us for this year how many of your new stores you would may be consider to be in a position where they could cannibalize your more mature stores? 
Dan Terrell : For the 19 we’ve opened in the first half of 2008, we’ve opened 13 of them in new markets and six of them in existing markets. 
Jeff Griffiths : I’d like to add a comment there though. We have a very unusual draw in customers in our earlier stores where because of the fact that we had a small number of stores and an effective national advertising program, it was not unusual for us to draw customers from a much wider geographic range than what most retailers normally get.  Just to give you an example we opened a store in Dayton, Ohio and it had an impact on the store that we had in the Cincinnati market; that store is actually in a far western suburb of Cincinnati, so probably about an hours drive away from Dayton, but a lot of the customers in the Cincinnati store came from the Dayton Metropolitan area, so we don’t count that as an existing market, we count Dayton as a new market, but you multiply that across just about every store in the company and every time we open a new store it does have some impact on the existing base. 
Operator: Thank you, sir. Our next question comes from the line of John Baugh with Stifel Nicolaus; please go ahead. 
John Baugh - Stifel Nicolaus:  Could you comment on the liquidation inventory? Is that primarily from the Hoboken situation? I think you mentioned that you had a lot of that still with you which implies good gross margins going forward and then I’m curious as to what kind of buying deals you’re seeing given the environment? 
Jeff Griffiths:  We’ve sold through the vast majority of the Hoboken product, that was a buy earlier in the year, but I would say it’s kind of more the same, similar type products from a number of different opportunistic buys. I think the activity slowed down a bit in the second quarter, but its still been higher than what we’ve seen historically and we’re still finding better quality product.  I think part of it is the fact that we’re much bigger and we have much bigger buying power; we have a lot more flexibility in what we can buy in the kind of quantity, so yes, I think that we’re going to continue to see good opportunities there. We are carrying more inventory in the category than we had originally planned to carry or than we’ve historically carried, but we feel that that is a good business decision to do that. 
John Baugh - Stifel Nicolaus:  Okay and then I think you commented Dan that ESP was down slightly and yet you talk about how your mix is better in terms of what you’re selling; is there something going on there with accessories being a lower APU or something technical that explains that? 
Jeff Griffiths:  We’re seeing customers move towards the premium products in each line, but the average sale price per unit has declined as the demand has shifted somewhat. Bamboo has picked up a lot of the sales mix, laminates are strong and some of the engineered lines including the handscraped and some of the higher price point products have suffered a bit. So, even though the customer is moving to a more premium product in the group, the overall price per unit sold has declined very slightly. 
John Baugh - Stifel Nicolaus: Okay, that’s helpful and then is there actually any deflation going on in any of the wood species, say year-over-year. 
Jeff Griffiths: Not that we are seeing. Again, our product isn’t as variable as the wood indexes that are quoted. That has certainly not been a large factor. We have seen some pricing pressures particularly from Asia and related to the currency and of course related to the fuel costs. 
John Baugh - Stifel Nicolaus: Okay, and then there are two final questions; one, an update on the in-house installation, I think that was a test in some stores, I’m curios how that is going and then I think I read somewhere that your testing somewhat better locations. Does that imply higher sales per square foot, better trade off with traffic, any commentary there? Thanks. 
Jeff Griffiths: First of all your question on the installation test, we are continuing to expand that test, to roll it out to more regions of the country. Just for those of you who might not be familiar with that, it’s a partnership that we’ve created with a national service company that provides professional installation.  We partner with them in a number of stores and markets and it gives us an opportunity to a more formalized offer installation and it brings a more consistent installation effort to the customer and it allows us to do some joint marketing and quite frankly it allows our store staff to focus entirely on the selling of the product as opposed to that service piece of it. We’ve been very satisfied with the program; our customers have been satisfied with it. They are offering very competitive pricing on installation and we are going to continue to roll that out into additional markets.  The second part of your question concerning changing a store location, I think we’ve slightly increased our occupancy costs by taking locations that are more consistent to the size that we deem to be the proper size for us and that’s a store with 1000 foot showroom and a more consistent size warehouse that has the right kind of ceiling height and the right kind of loading dock and things like that, but the most important thing is that the locations have greater visibility to major highways, so we’re taking advantage of the natural traffic that goes by them.  When you look at our strong national branding campaign you have the opportunity to reinforce our name; 45 to 50 hundred thousand times a day as cars drive by those locations. We think that that for the very minimal increase in occupancy costs; we think that that’s a great trade off and we think its one of the reasons why the new stores are consistently performing better than planed. 
Operator: 
 :
 :
Hardy Bowen:  Do you find that contractors are doing more business now as a portion of sales or loss, is there any change there with some people going out of business? 
Arnold:  Do you find that contractors are doing more business now as a portion of sales or loss, is there any change there with some people going out of business? 
& Bleichroeder:  Do you find that contractors are doing more business now as a portion of sales or loss, is there any change there with some people going out of business? 
Jeff Griffiths:  I don’t think there has been any significant change over the past year, so again the contractor business that we get is primarily small contractors who are doing remodeling work in existing homes or perhaps building one or two new homes, it’s not the big new home builders that we get that business from. I think overall because of our strong value proposition and our great pricing model and the fact that we’ve had a better in-stock position that we can do a better job providing them with the products they want in more timely manner; that we’ve been able to maintain that business even in an environment that’s been probably pretty challenging for them as a group. 
Hardy Bowen:  You mentioned retail pricing discipline, does that mean not giving a quite as much discount in the store because you find out that you’re already priced lower than everybody else or what is retail pricing discipline? 
Arnold:  You mentioned retail pricing discipline, does that mean not giving a quite as much discount in the store because you find out that you’re already priced lower than everybody else or what is retail pricing discipline? 
& Bleichroeder:  You mentioned retail pricing discipline, does that mean not giving a quite as much discount in the store because you find out that you’re already priced lower than everybody else or what is retail pricing discipline? 
Jeff Griffiths:  Well it’s a combination of those two things. We shop our competition on a regular basis. We set our pricing to ensure that we feel we are very competitively priced. We do have some levy that the stores have in terms of pricing for quantity buys or for someone who’s buying on a regular basis.  So, we focus more on training our store people to help inform the customers on all the benefits that we offer to them, the great prices, the great quality, the availability the product, the ability to get moldings and accessories for them, the ability to help them make better informed buying decisions and you put all those added benefits on top of the fact that we are competitively priced and we found that probably there is less need to just randomly lower prices when there is really no reasons to do it. 
Hardy Bowen: So you’ve given away some price you didn’t need to. 
Arnold: So you’ve given away some price you didn’t need to. 
& Bleichroeder: So you’ve given away some price you didn’t need to. 
Jeff Griffiths: I think that there was probably more to that then there needed to be. 
Hardy Bowen: Dan, fuel costs as a percent of sales, how did that look in the quarter and how about going forward? 
Arnold: Dan, fuel costs as a percent of sales, how did that look in the quarter and how about going forward? 
& Bleichroeder: Dan, fuel costs as a percent of sales, how did that look in the quarter and how about going forward? 
Dan Terrell: Fuel costs obviously were a pressure point for margin, but we have implemented a number of logistics initiatives to try and cut down on the miles driven. We continue that throughout this second quarter and we feel that offset the increase in fuel cost. We also put some of our contract routes up for a competitive bidding process, we feel like that got us some benefit to help offset some of the fuel costs. So, it’s there for everyone, it certainly had put pressure on the margin for the second quarter but we feel like there are logistics initiatives that we put in place as well as some that we intend to implement that will continue to keep those costs abate for the remainder of the year. 
Operator:  Thank you, sir. Our next question comes from the line of Eric Cha with Brand Advisory; please go ahead. 
Eric Cha - Brand Advisory:  I’m just interested in your most mature stores, the four to five year old stores; what are they comping? 
Jeff Griffiths:  We really kind of split the line at about three years for a mature store. Those stores were comping positive as a group. As we disclosed obviously the newer stores contribute more to comps than the more mature stores, but as a group they were comping positive. 
Eric Cha - Brand Advisory:  Okay, but your most mature ones, is it possible that they’re comping slightly negative? 
Jeff Griffiths:  I don’t have the facts on the most mature stores in the group. 
Dan Terrell:  I think that the most important thing to keep in mind here is that the most mature stores were the first store opened in every major metropolitan market and over the past two years, we’ve opened a second, third and sometimes fourth store in those markets and we are getting significantly better return on investment as a group in those markets now. 
Operator:  Thank you, sir. Our next question comes from the line of [Ryan Zackary with Jam Partners]; please go ahead. 
Ryan Zackary - Jam Partners:  Not to be the dead horse, but I kind of want to talk about this comp sales growth and drill down to the point that you just made now, some of your legacy stores are not comping nearly as well as the newer ones; why wouldn’t you close that first store then if they’re comping negative? 
Jeff Griffiths: Why would we close the store that’s incredibly profitable? 
Ryan Zackary - Jam Partners: I don’t know, because you’re getting much better margins on newer stores. 
Jeff Griffiths: Very good sales volume, very high margins and very low occupancy costs; these are great stores. 
Ryan Zackary - Jam Partners: Even a store that’s comping negative, potentially a much older store, so greater than 36 months getting to the point that you made kind of on the previous question? 
Jeff Griffiths: Because it’s an older store and we don’t really have significant decline in comps at the older stores. We just didn’t have the information for the older group of those stores, but what we look at when we open stores in existing markets regardless of the age of the store that’s there is what kind of yield we get out of the market. Again, we have a very low investment in a new store or very high payback, the SG&A four wall structure ties closely to sales as far as the commissions and benefits. We take a look at the overall profitability to market, whether we’re able to gain market share when we open up a second store and certainly we look at the reasons if we have a flattening of the increase or even a decrease in an existing store wise, why it’s done that way and we’ve yet to evaluate a market or an individual store and deemed it should be closed. 
Dan Terrell: I would like to add one thing to that. We said this on the road show last year and it still holds true; every single store in the chain is profitable. 
Ryan Zackary - Jam Partners: Okay. I mean so we shouldn’t be concerned with the deceleration in comp. You think that just a natural seasoning rather than the fact that may be the comps were opened to kind of a different strategy, maybe more off the beaten path relative to where you say you’re kind of opening new stores with greater visibility which is kind of a reason why they might track better as they get older. 
Jeff Griffiths: We have 10% market share and we’re the largest specialty retailer in the category. We think that there is tremendous opportunity to gain market share and the best way to do that is open stores in the large population areas and in markets that we have no presence and that’s our strategy. 
Ryan Zackary - Jam Partners: I guess the reason why I was saying maybe close an underperforming store is because you can open up a new one in the same market that’s apparently performing much better. 
Jeff Griffiths: In our opinion we have no underperforming stores. 
Operator: Thank you, sir. Ladies and gentleman that does conclude the question and answers session, I would now like to turn it back to management for any closing remarks. 
Jeff Griffiths : Thank you for joining us on today’s call and for your interest in Lumber Liquidators. We look forward to speaking with you again soon.